Operator: Good afternoon. This is the Chorus Call conference operator. Welcome, and thank you for joining the Nexi First Quarter 2021 Results Conference Call. [Operator Instructions] At this time, I would like to turn the conference over to Mr. Paolo Bertoluzzo, CEO of Nexi. Please go ahead, sir.
Paolo Bertoluzzo: Thank you, and good morning to everyone -- or actually, good afternoon to everyone, and good morning, if you're connected from the U.S. Welcome to our first quarter results call.  As usual, I'm here together with Bernardo Mingrone, our CFO; Stefania Mantegazza, our Head of Investor Relations and a few other members of our team. As we've done last time, we will give you today an update on how we see the market evolving in the COVID context and particularly with focus on volume dynamics and volume evolution. Then we'll move on our results for the quarter. And last, but not least, we'll give you a quick brief update on our M&A progress as well. And as usual, we will have plenty of time for Q&A. Before I move into the presentation, let me just make 2 [indiscernible] and technical notes. The first one is that it's really important to remind ourselves that when we look at our results for the first quarter, we have to keep in mind 2 things. The first one is that in 2020, January and February were actually very strong non-COVID months, where actually March was already a very tough month for Italy because, as you remember, the first wave of COVID started from Italy in the Western world. The second element is that, honestly, different from our expectation, we had the third wave coming into the third quarter, in the latter part of the first quarter, therefore, affected March and somehow also the beginning of April. The second technical note is that given the fact that 2020 has been an year with very extraordinary effect due to COVID starting from late February, and therefore, any comparison from 2021 volumes or performance to 2020 is really difficult to be understood. We will be using, as much as possible, also comparison to 2019 numbers to try and give you, as a benchmark, a more stable non-COVID-affected situation.  Obviously, we are doing this to try and help all of us to understand what is really happening in the business. For completeness, we also have put in the attachments, the more, if you like, normal year-on-year comparisons, benchmarking 2021 volumes with 2020. So that's in case you need to compare it with other players in our space, you can do that as well, but we really prefer to help you as much as possible with comparable numbers. So let me just -- let me now move into the presentation. And actually, let me start from Page 3, where we've tried to summarize the 3 key messages for today from Nexi. The first message is that after the third wave of COVID that wasn't expected, from mid late April, we've seen a very clear and strong volume acceleration. We have seen it a little bit across the different categories, in particular, in the basic consumption sector, which includes groceries, pharmacies, utilities, these type of things.  We have seen a continued strong growth that is simply a continuation of what we've seen also throughout the previous periods, confirming a clear acceleration of the transition from cash to digital in Italy. Second, in the discretionary consumption sector as shops were broadly reopened towards the end of April, we have seen a very, very rapid reacceleration, and they are now into a strong positive. And last but not least, we are starting to see some visible signals of initial recovery also in the more travel- and leisure-related sectors on the back of some partial reopenings that have happened over the last 2 or 3 weeks. So all-in, clear recent volume acceleration from late April. Second, our performance in the quarter, in the first quarter, despite the third wave of COVID that was not expected, has been actually ahead of our expectations. Our revenues grew 4%. Our EBITDA grew 2%. It's always important, as I said before, to compare this with 2019 to basically clean it up from extraordinary 2020 effects, both on revenues and on cost. If you do that, our revenues are actually up 5.3% versus first quarter 2019 and actually 9.2% versus first quarter of 2019 in terms of EBITDA. And therefore, when you compare the 9.2% of EBITDA with a 5.3% of revenue growth, you see the continued effect of our operating leverage and margin expansion. The combination of these 2 elements is suggesting us to basically raise the ambition for the full year from the mid- high single digits that we presented to the market in February to what we are calling high single-digit to double-digit revenue growth. And obviously, I will come back to this in the end, and we'll try to give you more clarity around what we mean with that. But clearly, we have a more positive view of the rest of the year on the back of the results that we've seen in the first quarter, despite the third wave of COVID and on the back of the recent volume dynamics and plans for reopenings and vaccination as well.  Third comments for the day. We also are continuing to progress in the creation of the European PayTech leader. As you've seen yesterday, Nets and SIA have communicated their high-level stand-alone performances, and they are both of them strong and ahead of our expectations. We confirm basically the plan for closing as it was anticipated. Therefore, we confirm that we plan to close the Nexi-Nets merger by the second quarter this year and that we expect the Nexi-SIA closing to happen in the third quarter towards the latter part of the third quarter '21. And obviously, as we're working on the closing, we've already started to work across the board with our future colleagues on the go-live initiative. So therefore, the preparation for the one and transformation and synergy initiatives as well. Not only this, today, we're also announcing, I would say, strategically important bolt-on M&A. It was anticipated in the recent months. We have extended our partnership with Intesa Sanpaolo to the former UBI book or better to the former UBI book that was bought by Intesa. This is very consistent with what we said in the past that while we are busy in the combination of Nexi, Nets and SIA aimed in the creation of value on top of these combinations, we are also continuing to explore bolt-on M&A opportunities where they are very clear -- very clearly value-adding and also quite simple to be managed and integrated. So this is the summary for the day. Now let me skip the summary Pages 4 and 5, we put them in for completeness, as we've done in the past. But let me move into the content, and let me start with the volume dynamics. I will then hand over to Bernardo to cover results, and then we'll come back on M&A and ambition in the end. Now let's move on Page 6. And before we start looking at the numbers together, let me just give you a sense of what has happened over the last few weeks in Italy to be able to put everything into the context as well. As I said before, in March, we had this unexpected third wave of COVID. So we had hard lockdowns at Christmas, you remember. Then some reopenings in January and February, but then also in Italy with the third wave of COVID happening in March and that has obliged the government to take new restrictive measures and new lockdowns came into place. You may remember that since some time ago with the color system for the different regions of Italy, red, orange and yellow. And the point is that many, many important regions moved from yellow to orange from orange to red in that period. These measures, together with other elements, had positive effect on the dynamics of the pandemic. And over the last few weeks, we've seen an improvement of the situation. We now, depending on the day, are moving around 5,000 to 10,000 new cases per day with a percentage on the tests that are done. This is now well below 5%, depending on days from 2% to 3%. The good news is that the pressure on hospitals, the pressure on intensive care is going down. Unfortunately, sadly, we still have 200,000 to 300,000 people dying per day. But as you know, very well, this is the effect of the new cases back several weeks ago in most of the cases. In parallel, the vaccination plan has accelerated as well. Italy is probably broadly in line with the other Continental Europe countries, is probably a month to 2 months behind compared to the U.K. and the U.S., and not to mention Israel, but this vaccination plan has now accelerated very, very visibly. We are now vaccinating more or less 0.5 million people per day. We have about 30% of the adult population that got at least one shot of the vaccine so far, with about half of it already having 2 shots. Most importantly, the majority of people above 70 years old, about 80% of them already got the 2 shots. A lot of the people that are exposed, for example, in hospitals, doctors and so on, got their vaccine done. A lot of the people with health fragilities and the people that take care of them also received the vaccine. And just to mention a personal case, I'm 55, I will get my first shot in a couple of weeks, and the government is announcing further acceleration for the plan. So this is the context that we are in. As a consequence, the government, over the last few weeks, has decided a very carefully designed, rationally planned reopening plan, still using the color grading for the different regions. And therefore, the country has gone rapidly from red to orange and again from orange to yellow. As we speak, the government is deciding what will happen from next week and most of the regions will go into yellow. In parallel with this, we have foreseen the reopening of the majority of retail with limitations. For example, commercial, large commercial centers have been closed during the weekend. The good news is that also restaurants and bars are now open until 10:00 in the evening in the outdoor facility. So indoor cannot be used, but at least outdoor is there. Unfortunately, weather has not been too helpful in Italy over the last couple of weeks, but in any case, it's shocking to see people almost eating a pizza almost in the rain, and it tells you a lot about how people are really keen and willing to start to come back to normal life. And we still have a curfew at 10:00 in the evening. But as you can understand, the situation is already very different from what it was in March. So this is the context we are in. Now let's look at the numbers. I think the numbers are fairly self-explanatory here. As usual, this curve represents the year-on-year volume changes that we see as a combination of total issuing and acquiring volumes. Here, you see o the graph are the 3 different waves in red boxes. And as I said before, from basically the latter part of February, we've started to measure growth performance, not on a year-on-year basis, but actually comparing it to 2019 to make sure that you can really follow what is happening underneath. So what have we seen in the quarter, as I said before, we had a difficult start in January because of the lockdowns, then we had a recovery January and February, almost getting closer to parity with the previous year, then we had the new lockdowns happening in March. Easter was completely locked down and, therefore, was obviously, negative impact, very negative impact. And then after Easter instead with the new reopenings, we've seen, again, a strong acceleration happening. And if you look at the recent 5% or 9% data, this is really the best we've seen for a long, long time. The minus 11% on the week -- on that week is justified by the comparison with what was happening 2 years ago because of a longer weekend with tourism and everything else. It obviously, this year has not happened. Just as a reference, and you will see all the details in the attachment, so if you compare these numbers with last year numbers, March would have been a plus 36%, April would be a plus 63%. But again, as I said before, we really don't think these numbers are too helpful. They look so great, but they're not really helpful in understanding exactly what is happening. Now let's move, as usual, in the details of these numbers, and let's start diving into the usual distinction between Italian cards and international tourists cards, and therefore, the inbound traffic to Italy. Obviously, here, we take only the view of acquiring where we have the data necessary to look at these dynamics. And here, you see what I was saying before, even in a stronger way. You see Italian cards went back into positive.  Last week, they were actually growing at around 20%, despite the fact, as I said before, we still have a lot of limitations in retail, leisure, entertainment, curfews and stuff like that. But you clearly see an accelerated recovery here. At the same time, the inbound international tourism is still suffering a lot. I don't know if this marginal improvement that we see on the last week is already a signal of recovery. But clearly, the situation there is still different. I'm sure we all read the press and what every single country is doing to reaccelerate and reopening the borders to tourism, but it is something that still has to become a reality. Now moving to the next page. We give you, as usual, the details by macro category. Let's start with the basic consumption category. The basic consumption category has always remained in the positive space throughout 2020, throughout COVID and also throughout the recent months. It's now running at around 40% over the 2 years. So this again, it's also comparison to 2019. And as you clearly see, this is a strong acceleration, showcasing that underneath the different dynamics now we have a clear acceleration of the shift from cash to digital payments. Moving to the second area, what we call generic and discretionary consumption in sectors such as clothing, household products, beauty, these type of things. Over the last week, we see a strong rebound. It went back into positive 6% growth with actually Italian cards being at plus 21%. Obviously, the individual weak data point per se cannot be extrapolated, but the trend underneath is very clear and already fairly solid. Last, but not least, the high-impact consumption here, we're putting basically all the tourism and leisure-related sectors, bars, restaurants, cafes, discos, hotels, transportation or airlines and so on and so forth. And here as well, in the last week, you see a nice improvement even if it is still at minus 30% with the Italian customers, the Italian cards being already at minus 10%. So all-in, a plus 20%. E-commerce as -- is also in positive territory all-in, but you see very clearly the dynamic is growing very strongly, around 60%, 70% over the 2-year period in the busy consumption, generic and discretionary consumption sectors, while it's still fairly depressed in the travel-related sectors as well as everywhere else in the world, even if also here we see a nice improvement in the very recent period. Page 9 gives you a little bit of a visual demonstration of what I was saying. Here, you see the continued growth of the basic consumption categories with weekly, if you like, ups and downs depending on the extraordinary situation of the week, but quite solid, very high growth. You see, over the last few weeks, the super strong reacceleration of the discretionary consumption from minus 40%, minus 44% to actually a positive space, plus 6% in the last week. In here, you also see graphically some recovery happening literally over the last few days when it comes to the high-impact consumption sectors. And here, we have decided to basically give you some more granularity on some relevant sectors. Over the last 4 weeks, restaurants and bars have improved almost 50 percentage points, travel and transportation around 20 percentage points, also hotels in the last week about 10 percentage points. They're all still in the negative space, but the speed of -- is, we believe, very, very visible. and I think good for the economy more in general. Page 10 -- so these are the dynamics that we've been observing. Page 10 is basically an update of the similar page we had last time. As usual, we try to pull out data points that showcase the acceleration of the migration from cash to digital. On the left, you see the dynamic of the grocery category in -- for Italian cards. It has been growing basically last year around 20%. First quarter this year has been growing about 40%, and this is actually compared to 2019. And therefore, basically, it's maintaining its kind of 20% a year growth rate, similarly in April, similarly last week. So quite consistent dynamic. On the right, on top right, we also give you, again, the performance of volumes in the different categories of zones, red, orange and yellow for Italian cards. And here, you see basically that when reopenings happen, therefore, when you go from red to orange from orange to yellow, basically, you have an improvement that goes anywhere around 10%. And in this particular observation, we have from red to yellow about 14 percentage points and from orange to yellow about 9 percentage points. And actually, now the dynamic is even clearer when you carve-out from this data, the high-impact consumption sectors where you see that actually the orange zones and the yellow zones are actually running at 20%, 30% over the 2 years in terms of growth rate. Let me stop here in terms of all the dynamics. Let me hand over to Bernardo, who will cover results. Bernardo?
Bernardo Mingrone: So good afternoon from me as well. Starting on Page 12, we'll see how the steady increase we've observed in volumes in the first quarter translates into financials. Looking at the consolidated level of the group, the Nexi group level, we have revenues, which are increasing by 4% in the quarter. It's important to benchmark ourselves against 2019 on top of 2020, as Paolo was mentioning earlier, because of the strange nature of 2020 as a comp and the performance in the first 2 months of last year being very strong pre-COVID and then March being affected by COVID. So we have 4% growth in revenue on a year-on-year basis. And if we look back to the first quarter of 2019, so we have a 5% growth. Now this comparison is even more meaningful against 2019 when we look at EBITDA because we have growth in EBITDA in the first quarter this year, 2% growth at €140 million compared to €137 million last year, which per se is a good result. I'd say it's ahead of our own expectations and something we're particularly pleased with. But it's important to benchmark ourselves against first quarter 2019 to have a more like-for-like comparison, given what happened in terms of costs last year, and we discussed this with a lot of you during the course of meetings after first of the full year results, et cetera. Obviously, last year, we took out a bunch of cash costs to protect our P&L and our cash flow. Most of things spring back in the first quarter this year. So it's useful to compare both EBITDA and then the costs later on against performance in 2019. And you can see that EBITDA has grown by 9% compared to the first quarter of 2019. And therefore, we highlight the continued operating leverage our business benefits from. Growth in revenues, 5%; growth in EBITDA, almost twice that. And again, also from a margin perspective, you can see the margin expansion of 2 percentage points from 52% to 54% when we account for this extended time horizon to normalize for the anomalies of 2020. Moving on to -- so this sets the scene in terms of the overall performance, growth in revenues, growth in EBITDA. If we look at merchant services on Slide 13, we have flat revenues, 0.0 actually -- finally, 0.0% and flat revenues of €128.3 million. If we look at the comparison against 2019, it's 2.6% growth. More importantly, I would highlight the growth in volumes, in particular, in terms of managed transactions, as this is an important sign of Italians' propensity to use digital payments or card-based payments compared to cash, further strengthening our conviction of the secular shift of cash to card payments as the average ticket drops and the number of transactions increases, notwithstanding COVID double digit, 10.2%. And in terms of value in managed transactions, we have also positive growth on a year-on-year basis, notwithstanding the fact that we had 2 full pre-COVID months last year. From a business perspective, what is worth highlighting we have summarized is in boxes on the right. We have continued to support the growth of our -- the efforts of our client base in terms of large merchants with our omnichannel solutions, which have been increasingly important in a year, which is impacted by COVID, and the ability to transact not in physical way but online. The acceleration of our MPOS proposition to counter growing trends of competition in this space, which has been an -- a very successful initiative. And e-commerce, which continues to grow very healthily. We have highlighted what the growth is excluding the high-impact sectors, which are in e-commerce, very important. You obviously have all the travel sector, which is primarily e-commerce. But if you take that out, which has been impacted by travel restrictions due to the pandemic. If you strip that out, the other sectors have grown by 30% on a year-on-year basis or 63%, as we've highlighted, we compared to the first quarter of 2019. In general, even including the high-impact consumptions, e-commerce has actually grown year-on-year. And unsurprisingly, it's performed better than the physical -- in the physical channel. Volume growth in e-commerce is being accompanied by growth in revenues in e-commerce, which have helped the performance in the quarter. We highlight here how gateway activations have been doubled compared to what they were in the first quarter of last year. And we also focused a lot on implementing PSD2 and allowing our customers to deal with implications of strong customer authentication, and we have successfully implemented all the regulatory requirements which were being introduced. Page 14 moves on to cards and digital payments. Even in this division, we have strong revenue performance, which has been installed -- been supported by growth in installed base, which is very important to us. We've had both growth in the number of cards and growth in terms of the revenues driving installed base, 8% on a year-on-year basis. And I remind you, this accounts for approximately 60% of our overall revenues. We have very strong signals coming from international debit, which you know is a key pillar of growth for us. It's one of the key pillars of our strategy identified a couple of years ago. And we can see that international debit is fueling part of this growth with an 8% increase in the value of managed transactions on a year-on-year basis, better than the market as a whole, so if you include domestic debit and international schemes. We continue to work with the domestic debit scheme to increase their digital capabilities. This is obviously very important in light of what I was saying earlier with regards to e-commerce growth. And 2 interesting data points we highlight here in terms of, again, the payment habits in Italy. We see less transactions, which increased 15% year-on-year. 38% of transactions were carried out on a contactless basis prior to COVID, now we're at 43% in April. So increasing the usage of the contactless features. And we also have a growth in mobile payment transactions, which are up almost 60% on a year-on-year basis. One of this is being helped by the initiatives, which were introduced by the government and we spoke of in the past and are still in place. And all of this has translated into growth in revenues of 7%. We highlight here that this growth has been flattened somewhat by certain project-specific revenues. So you know that a large domestic bank was acquired by Intesa during the course of last year, UBI, and we worked with our customers in order for them to integrate these businesses into their own. And this generated some project-related revenues, which were booked in the quarter. In any event, we would have had growth in the quarter. But we highlight that just for completeness sake. Page 15, the third division, Nexi Digital Banking Solutions, has also had very healthy growth in the first quarter, up 13%. I would say that the benefit of this growth comes from pretty much all the legs of the business. ATMs have contributed to this growth, thanks to the fact that we've completed the rollout of our new platform to all our existing customers, and we can see growth in installation of advanced ATMs as they replace the more traditional cash-in, cash-out ATMs. Digital corporate banking is also growing inertially at 3%. Corporate payments, in general, is an opportunity for further growth as we extend our paper account solutions to new electronic money institutions, which are coming into the market. And on open banking, we continue to work with the CBI consortium in the open banking gateway, which we've provided to them. In this division, we also had some benefit coming from project-related revenues, which helped support the group. Coming to costs, on Slide 16. We'd like to highlight how we continue to remain very focused on controlling our costs, as we showed, I would say, every year, we try and show an improvement in our costs as we limit the growth or actually cut costs in the face of increasing volumes. This continues to be true today. If we look at 2019, again, to try and normalize for the factors, which I highlighted earlier in terms of the evolution of costs in 2020 due to COVID, we have costs which are substantially flat compared to the first quarter of 2019. If you actually look at operating costs, they're down in line with the fact that volumes are not yet where they were on an aggregate basis. So costs are consistent with the evolution of volumes, if you look at them against 2019. On the HR front, we have evolved our human capital base over time, and this reflects the growth since the pre-IPO days till today. We then come to performance compared to 2020. We have an increase of 6.5% to €119 million. But as I was saying, this increase is explained by the fact that last year, we had certain cost containment initiatives, €100 million in total. A lot of this flowed through our P&L. This year, a lot of these costs spring back. If I think of HR costs we've highlighted here, on a personnel cost basis, we have started to accrue again for the variable components of compensation in our first quarter numbers. But there are also project-related costs tied to the initiatives I was mentioning earlier in the revenues front. So on a like-for-like comparison, costs are actually down almost 1 percentage point.  Again, highlighting our steadfast commitment to containing cost growth. We're actually trying to reduce it over time as we in-source. Slide 17 comes through our net financial indebtedness. As you can see, we have brought this down from 3.5x leverage at the end of last year to 3.2x. This is consistent with our target of reaching in the medium-term to 2 to 2.5x leverage, which we expect to be at, at the end of next year, and I would say this is a good step in that direction. Page 18, I think, is worth noting in light of the €3.1 billion of securities, which were issued in the first 4 months of the year. This was all done in light of the 2 M&A transactions with Nets and SIA. So we have, let's say, prefunded the repayment of the Nets and SIA debt, which we will repay once the 2 transactions closed. In fact, if you go back to Slide 17, you'll see the gross indebtedness has increased and the gross cash has increased for the proceeds of the convertible bond, which will be deployed to repay the debt in Nets once that transaction closes. But these 2 transactions, the convertible bond and the senior unsecured notes, which were issues in April basically helped us achieve a more balanced mix in terms of debt structure. Half of this is senior unsecured notes, and the other half is equally split between term loans and convertible notes. Term loans affording us a certain degree of flexibility in terms of optimizing the cost of debt going forward. Notwithstanding what I just said, we have already achieved a very substantial reduction in the weighted average cost of our debt down from 2.1% before these transactions to 1.6% now. This essentially achieves the targets we had set ourselves in terms of improving our cash EPS, as we had disclosed them at the end of last year with the Nets and the SIA transactions. But we believe there's more optimization embedded in our ability to refinance saying the term loan at better rates. And we also have spread our maturities over a number of years, starting from 2024 to 2029, basically getting rid of a lot of the refinance -- point in time refinancing risks we had earlier. So from now until 2024, we can focus on optimizing the cost of debt rather than having to raise new capital, which is a good place to be. And the 3 rating agencies are supportive. They are on a positive outlook, and we hope that they will resolve this favorably for us in not too long a time frame. Having said this, I'll pass the floor on to Paolo to update us on M&A and his final considerations.
Paolo Bertoluzzo: Thank you, Bernardo. So all you've seen a set of strong results ahead of definitely our expectations and I think broader expectations as well. Now let me move into M&A. First of all, let me give you a little bit more details on the acquisition of the former UBI merchant book activity that has been bought by in Intesa Sanpaolo a few months back. This is something that was already expected and planned into the agreement that we did have with Intesa when we signed the Intesa deal that was agreed that any potential M&A from Intesa would have been following basically the same logic and principles of the initial acquisition. On this page on the right, you see the key data points here. We're talking about 50,000 merchants. Here, the mix is quite similar to the average Italian mix about 2/3 SMEs, 1/3 larger merchants, €6 billion of transaction volumes. And in 2021, this book should deliver about €70 million net of revenues, net of distribution costs because we're paying to Intesa distribution cost and capital management cost of these €70 million and that should generate about €16 million EBITDA. Most of the cost of this book are already into our numbers because we're already processing this book from the past. And therefore, the net additional contribution to our numbers in 2021 should be about €17 million and €16 million. I need to be very clear here. The economics of this deal will be recognized to Nexi from the beginning of 2021. So cash flows, revenues, EBITDA will come into our numbers. But we will include it into our numbers only after closing, closing that we expect to happen in the second half of the year. Therefore, this additional €16 million, €17 million are not in the numbers that Bernardo has just explained and are not included into the ambition that I will cover in a few moments, and we'll do it only after close, as we always do, to make sure that we can provide the market with the best possible and clean as possible view of our organic performance, this in a separate way from what the contribution from M&A is. On the left of this page, you find a few more details. We are paying for this asset about €170 million plus earn-out which follows -- the possible earn-outs in 2021 as we follow the same dynamics agreed with Intesa in the past. And we have the contractual protection mechanism, for example, risk of credit exactly in line with what we had in the larger Intesa deal. So this is literally kind of an add-on to that deal. But we're very happy to be able to sign this and to move fast towards the closing of it. Moving to the next page, a quick update on -- instead on the other larger front of the combinations with Nets and SIA. Let's start with Nets. Nets published last night their results for the quarter. We have to keep in mind if we benchmark these numbers with, for example, our numbers that in the geographies where Nets is present, the dynamic of COVID has been a little bit the other way around compared to what has happened in Italy because in their geographies, for example, Germany or the Nordics, COVID has been light last year, it arrived later, while lockdowns and containment measures have been harder this year, and therefore, there is an impact there. Nevertheless, the Nets has been performing better than our expectations at minus 3% year-over-year underlying revenues with a super strong performance on e-commerce and about minus 10% on EBITDA. As far as closing is concerned, EGM approved the merger in early March. We have received the antitrust clearance already in early March as well. We just have 2 or 3 remaining regulatory approvals to be obtained, that we expect to come over the next very few days or weeks. We confirm the closing in the second quarter of this year, hopefully, at the end of May. If it's not the end of May, actually [indiscernible], we would be able to do the closing probably a few days later on that. And therefore, we probably postpone the closing to the end of June, and therefore, in Q2 nevertheless. As far as transformation plan and preparation is concerned, I would simply say that there is a machine that is working. And there's a huge collaboration across people, across the teams, and I would say that everything is on track. Synergies have been confirmed and the plans are prepared to go into the execution right after closing. SIA has had a strong performance, 9% revenue growth and about similarly 8.6% for EBITDA. It's a combination of the effects of new customers abroad and in Italy as well, as well as a good volume -- a good contribution from volume acceleration, especially in some of their customers. Don't forget that into SIA business model, the element that is more relevant is the number of transactions rather than the value of transactions. And as you've seen in Bernardo's explanation, the number of transactions is already accelerating a lot. As far as the closing agenda is concerned, we did file yesterday for antitrust approval to the Italian authority as we were expecting and that we will also confirm by the European competition authority. We obviously are progressing also on the other regulatory approvals. And currently, we plan and expect to close by the end of the third quarter. Again, also here, transformation program is ongoing. Obviously, we are, given the different time line of moving in a different phase approach, but everything is progressing as expected. Now let me move to the next page. Let me talk about our ambition for the full year that, in a nutshell, we are raising, in terms of revenue growth, from mid- high single-digit to high single-digit to double digits. First of all, let me be explicit on what are the key assumptions that we are making here. Obviously, we're assuming that, hopefully, the COVID situation will continue to improve, and we will have no more waves happening. We are assuming that the reopening that we've seen happening over the last few weeks will continue. The government is discussing, as we speak, the next steps. And with high probability over the next very few weeks, you will see more reopenings, for example, commercial centers are supposed to reopen in the weekends. Bars and restaurants are supposed to be able to serve their customers also indoor and not only outdoor. The curfew, and there is an interesting debate in Italy on the topic, I think as in other countries as well, should be relaxed or removed. The timing has to be decided by the government. And the government is also putting in place specific measures to support tourism and attract customers and foreign customers in particular to beautiful Italy. So all this is happening. Basically, government is announcing new measures by the week, observing the evolution of the pandemic. At the same time, we are assuming that the vaccination plan will continue in line with the announced plan that actually should see about 80% of Italians being vaccinated with the 2 shots by September. And this is pretty much in line with what we see today. Just again as an example, yesterday, it was announced that in [indiscernible] the people -- 40 years of people would be able to be vaccinated in the coming weeks as well. So this is the underlying assumptions. Based on these assumptions, obviously, not based on the results we've seen in the first quarter and the volume dynamics, we feel comfortable to raise, as I said before, our ambition from mid- high single-digit revenue growth to high single-digit to double-digit revenue growth. Let me be explicit with what we mean here. You may remember in February, when we said mid- high single digit, we said that we were still seeing a broad range of outcomes given the uncertainty of the evolution with COVID, we believe that uncertainty is potentially still there, and therefore, we continue to see a broad set of outcome. However, the -- if you like, the range that we see is now upgraded up. Now we see as a midpoint to this range about 10%. So we don't want to give a precise number here, but the way you should think about it is a range of outcomes that has 10% as a kind of a midpoint, but clearly, it can be more. It could also be less, but we are clearly targeting at least 10% at the moment based on what we have seen recently and based on the assumptions that I made before. So that's as far as revenues are concerned. We confirm a broadly stable EBITDA margin with 3 percentage points improvement to 2019, expanding again our operating leverage. On this front, we see a potential upside as well in terms of expansion of EBITDA margin, but we really believe it's too early to confirm it because we still need to see the effect of the potential volume acceleration into our cost base. And by the way, we see many opportunities out there, and therefore, we need decide if we want to reinvest in growth, which we always favor. The combination of these 2 elements, and I think this is really, really important. If you take this 10 percentage point -- this 10% growth as a midpoint and you do the same for EBITDA and you compare it to 2019, this means that over the 2 years, we will be growing 7% on revenues and above 13% on EBITDA, which again confirms operating leverage working properly. So this is what we see in terms of revenue growth and EBITDA growth. And last but not least, we confirm a broadly stable CapEx incentivization and continued strong organic capital generation and deleveraging profile. So let me just close where I started on Page 22, that is exactly the same. We started with 3 key messages from today, clear recent volume acceleration on the back of the reopenings that have happened over the last few weeks definitely across the board; growth performance for the business in the first quarter, ahead of expectations, with revenues plus 4% and EBITDA plus 2%; and continued progress on M&A, not just on the announced M&A, but also on new nice additional bolt-on opportunities simple for us to be managed and to be integrated. And on the back of all of this, we are raising our ambition for 2021. Let me stop there, and I think we can now open the floor for questions.
Operator: [Operator Instructions] The first question is from Stephane Houri with ODDO.
Stephane Houri: Yes. I have a few questions, if I may. The first question is to understand in your full year sales guidance, what assumption you have taken for international travels? Do you assume a kind of normalization for the summer? That's the first question. Then when you speak about a potential upside on the EBITDA, can you just say what you think about? Is it only if revenue is better than expected? Or is there anything to think about in term of costs that you could strip out? And the last question is a little bit different. It's on the Nets deal. If you can share with us what actions you have taken to maybe retain the management? We know that one of the big value of this deal is probably to be able to retain both customers and management. So can you share with us if you have started to take actions on this point?
Paolo Bertoluzzo: Stephane, thank you for the questions. Let me start on what we are assuming when it comes to international travel and international tourism. First of all, we have increased our expectations in this space as well, despite, to be honest with you, the first quarter was pretty much in line with our expectations. But nevertheless, we have increased those expectations as well on the back of the evolution of COVID and the measures that have been taken around the world for the reopening of international travel.  Nevertheless, we're still looking at an year that remains fairly weak on this front. As you have seen, we are now moving at around minus 70% versus 2019, and we see that basically improving across the year. We are assuming basically a summer at around minus 30%, minus 40%, which is probably a bit better than last summer and then continued improvement from there. But this is probably the area where, even if we have improved, we prefer to remain cautious. Potentially, I mean, can this be an upside? Potentially. But honesty Italy doesn't depend on us, and therefore, we don't want to overshoot on this aspect that has so many delicate elements into it. For you to know because I think it's interesting, every 10 percentage points of improvement in this growth rate of international travel is about €10 million revenue contribution on a yearly basis, on a full year basis, okay? So just to be able to kind of play with scenarios. Obviously, we are paying with scenarios, as you can understand. But for the moment, we feel comfortable to be where we are. As far as EBITDA is concerned. To be very, very honest with you, we've been redoing our top line evolution scenarios on the back of the dynamics. Over the last few weeks, we've been concentrated mainly on revenues because we really believe that's the priority. We still have to do more work on costs for the moment that this is where we feel comfortable. Obviously, it depends on -- also on the mix of volumes that will come through. It will depend on the evolution of the commercial initiatives and, as I said before, we may have some upside here in terms of further EBITDA margin expansion. But again, if it happens and we see more opportunities of growth acceleration, we may also consider to invest more on the commercial front to stimulate further growth. So this is probably a good conversation for next quarter mid-year results. As far as Nets is concerned, the Nets has incredible talent as well as SIA has incredible talent. We see a lot of excitement for the journey ahead for the people from all the combined groups. I had personally a very nice video with the top 250 people SIA only last week. Yesterday, were the first video with the top 70, I would say, from Nexi and Nets, and everybody is really engaged. Everybody is also already engaged into the work streams that have started already. So I really believe that's the most important thing. If you want to be more, let's say, pragmatic or hard-fact based. The -- it's key to know that, and I just reiterate this that a large number, or I would say, all key Nets leaders will become at closing shareholders of Nexi, some of them in a very important way. And there would be shareholders of Nexi over the next couple of years, which is also with lockups as well. Their shareholders also decided to give them a specific incentive plan on the performance of the stand-alone business over the next couple of years again. And last, but not least, and we will confirm it as we go along through the formal processes, but we plan to extend our long-term incentives program that, as you know, gives shares to management based on share performance and cash flow generation 3 years after the shares are assigned to people. We will extend this plan that actually makes everybody a Nexi shareholder. We'll extend that this plan to both Nets and SIA future colleagues after closing. That's the current plan. Again, it is nice to go through formal approvals, but we believe it's important.
Stephane Houri: Okay. Okay. That's very transparent. And for customers, have you already taken some contacts with the important SIA and Nets customers?
Paolo Bertoluzzo: Stephane, I need to say that formally, and also reality, I mean, we are separate companies until closing, and we need to continue to act in that way. That's, for example, one of the reasons why the working groups, in some cases, are working through clean team to make sure that we don't share today information that we cannot share yet. So we are doing efforts again to prepare for that. So we hear positive feedbacks, but through Nets and through SIA in terms of customer reactions. Some of them, we know ourselves for different reasons and we see also a good reaction. I think what is really interesting and encouraging for us is to see that we already have international customers, either Italian customers with international operations or international customers, international banks that are starting already to come to us asking us to engage with them as if we were already the new group because they're really looking for that type of partner on the back of what the 3 companies have been doing in a separate way. So we are really, really keen to engage into these conversations as one group, but we cannot do it yet. We will be able to do it soon, together with Nets hopefully in a few weeks, and together with SIA hopefully after the summer.
Operator: The next question is from Sébastien Sztabowicz with Kepler Cheuvreux.
Sébastien Sztabowicz: So SIA entered the year on a very strong note, while Nets was a little bit softer because of the comps. How do you see both company growing in the next few quarters? Should we expect that Nets should grow at a slower pace than SIA in 2021? And also, how do you see them growing versus your own target that is now around 10%? Do you expect any difference there? And the second one would be on the government initiatives to promote digital payment in Italy, where are we standing right now with a couple of mergers that have been launched and notably the cash back? Could you please make an update on this initiative?
Paolo Bertoluzzo: Sébastien, thank you for the questions. Unfortunately, we cannot talk about -- or give guidance for Nets and SIA. You have seen the performance. I think we have taken into account that, hopefully, for Nets, comparisons will become easier as the year goes through. You see that also in the countries where they are present vaccination is progressing very well. Reopenings are happening, especially in the Nordics and Poland so on and so forth. Germany is a bit behind. But our expectation is that we will see an important acceleration from now onwards on their side. I think here, you also have a little bit of a reference that this [indiscernible] plan that is being communicated in the context of the merger announcement, and that's somehow the base plan. And you can see that it is a plan with very important growth ambitions. When it comes to SIA again, I cannot comment in detail. I think, again, for SIA as some project work as well as before the phasing depends on those components as well. But I would leave it there for the rest of the year. Obviously, we'll talk more about this as we close the deals. Overall, when you look at the group altogether, we see something that is not far from the vision that we currently have for ourselves, but again, this is far too early to talk about it. On the government initiatives, government initiatives are just continuing exactly according to plan. You remember, there are 4 or 5 of them. They are all in place at the moment. And they will be -- continue to be in place as far as we understand for the rest of the year. As far as the most visible is concerned, the cash back initiative, that initiative is continuing to have traction. The government is maintaining that initiative for now. There has been some debate, and the government is committed to continue to monitor the progress of that initiative and also consider potential ways to improve it in terms of making it more effective or potentially more efficient as well, which is also the view that we have -- we believe it can be improved. And by the way, we are trying to contribute with ideas as well on that front. I know that these initiatives have a lot of visibility. We're trying to assess ourselves what was the contribution in the quarter of these initiatives, yet to the word that in the big scheme of things, this is probably €1 million to €2 million in the quarter. So obviously, they are important, but they're important for the country, not really for us. And therefore, we hope there will be continued, but our outlook and future will not depend on these initiatives.
Sébastien Sztabowicz: Okay. One last question, if I may. You mentioned some exceptional sales linked to the banks, M&A that have positively benefited to the CDP and the DBS divisions. Can you clarify a little bit the impact of, I would say, the exceptional items in the first quarter in terms of revenue?
Bernardo Mingrone: No. Yes, Stephane, thanks for the question, but we won't give you a breakdown. I mean this is not some -- we have included the bullet point for completeness sake. I mean it helped us in terms of performance, but I mean, we're talking about something which I think is a immaterial in the overall context of things.
Operator: The next question is from James Goodman with Barclays.
James Goodman: A couple from me, please. Just firstly, digging back into the guidance a little bit on the top line from a phasing perspective as we go through the rest of the year. The versus 2019 commentary is very helpful. I mean if I look at Q2, where it seems totally logical to expect a sort of sequential improvement in growth versus Q1 on a versus '19 basis. If I put in something like a 5 percentage point revenue improvement, I come close to 30% growth versus Q2. So I just wanted to make sure I'm on the right track there, how you think about phasing within your guidance for the rest of the year? And I'm certainly coming out with 10% more lower bound. So it'd be helpful just to get a sense of what you're expecting for Q2 and thinking about how that might then sort of narrow or increase the range as we move through the rest of the year given the weaker comps clearly for FY '20? Second question, I just wondered if you could give us a bit of insight into the sort of merchant behavior you're seeing in the SMB space. It's a year clearly lapped since the beginning of COVID. Any sort of signs of increased SMB churn? Are you doing anything to sort of keep those customers? I mean is there anything you can do is clearly, there's sort of economic pressure on those businesses. But how are they faring? How is your sort of net customer acquisition looking? Just anything around the sort of health of the SMB customer base would be helpful.
Paolo Bertoluzzo: James, thank you for the questions. Listen, on guidance, as you know, we prefer not to give the quarterly guidance also because there are so many dynamics underneath. But as you can imagine, if you look at the quarter result and you still keep this 10% as the midpoint for the year, you could expect a second quarter well above this yearly performance. And I would say the last couple of quarters broadly in line with that. That would be the way I would model the year. Obviously, if you compare it with 2019, instead, obviously, you would have a lighter, but still positive second quarter and then improvement thereafter, a material improvement thereafter. But that's the way it is. As far as merchants are concerned, listen, I think we continue to see very much increased interest from merchants in digital payments. I think the pandemic and the challenges of the dynamic for the businesses has -- have increased the level of attention, level of interest for more sophisticated solutions. Somehow this space has moved from being just a cost of doing business into becoming an important enabler for doing business. And I think it is clearer and clearer as we see the situation evolving. And this is true for large merchants, for midsized merchants and it's even more visible for smaller merchants. Obviously, omnichannel is a topic being able to serve customers at home is also topic. That's one of the reasons why, for example, the sales of mobile POS are trending so nicely or sales of e-commerce gateways are progressing so nicely as well. But clearly, there is a new wave of interest. As far as churn and so on and so forth, we don't see any major dynamic there, but I think it's a bit too early to assess that. I think in general, the key theme is digital payments is an important enabler for my business.
James Goodman: You called out, I think, mPOS acceleration in the slides. I mean, is that becoming more material for you? I mean it's been something that quite competitive historically. Is there any change in the sort of situation there in Italy around mPOS specifically?
Paolo Bertoluzzo: Well, listen, mPOS is, and I think over time, will continue to be a relatively small part of the business because the mPOS-type of solutions are interesting basically for 2 types of customers. Number one, for, let me say, the new to digital payments customers that are embracing for the first-time digital payments. They want to have a light solution that normally doesn't come with fixed cost. It also comes with actually normally higher merchant fees, which is the normal dynamic in the segment and so on and so forth.  And these customers, as they grow, they move normally, and we also do what we can to migrate them to more effective traditional solutions that, by the way, allow them to enjoy also more efficient merchant business volume growth. Then you have a second area of application that are the merchants that work on the move or remote.  We think about the taxi drivers or, for example, the open-air markets that are nomadic fares, this type of situation. But last, but not least, it's becoming more and more common for merchants that are already very advanced in digital payments that do already transact a lot to have this as an additional terminal when they need to do home deliveries or, in general, they may use -- need some extraordinary uses and additional complementary product. That's the reason why it's a nice complementary product, it's a nice entry product, but is not going to become the core of the market by any measure.
Operator: The next question is from Adithya Metuku with Bank of America Merrill Lynch.
Adithya Metuku: Two questions, please. Firstly, just on the -- looking at the grocery spending in Italy on cards, 40% up year-on-year is a very, very strong increase. It feels like that is basically the result of these incentives, which have been put in place beginning in December. I just wondered if you could give us your thoughts around how we should think about penetration of digital payments changing as we exit this year. So what kind of run rate do you think we could potentially be at in the fourth quarter of this year? It's historically been a 24% of retail spending. Any color around how you're thinking around where that run rate could be in the fourth quarter would be very interesting. And secondly, I just wondered, given the amount of changes we've seen in digital payments in terms of trends, are you seeing anything interesting in Italy from a consumer behavior viewpoint? And also, if you could give us an update on what you're seeing on your PSD2 platform, that would be very helpful.
Paolo Bertoluzzo: Adi, thank you for the questions. Just a clarification, what do you mean with our PSD2 platform? You mean the open banking?
Adithya Metuku: Yes, yes. There's been a lot of talk around account-to-account payments, et cetera, so I just wondered if you're seeing anything interesting on that front.
Paolo Bertoluzzo: Okay. Okay. Let me try to address that as well. Listen, when it comes to grocery spending, you're right. I think that's fairly impressive. I think this is really driven by change of behaviors and the cash back-type of initiatives that may be marginally contributing to this. But honestly, I mean, if you just take the full year last year, it was already growing at 22%, and last year, impact was 0 for cash back. And therefore, you basically see a 20% year-on-year growth last year and it looks like this kind of continuing this year, if you take the 41, 38, 34 percentage over the 2 years. So we really believe this is a structural effect of that. Unfortunately, we are not able to answer to you yet in terms of where the penetration of digital payments is today. I can only reiterate what we said in the past that we perceive that in this period the penetration of digital payments is moving twice the speed that normally it would have. So historically, every year, I would say, over the last 3 to 5 years at least, digital payments penetration has been growing 1% to 2% per year.  We have many signals that will suggest that since the beginning of COVID, this is moving above 2%. It's probably 2% to 3% or maybe a bit more than that as well. So it's too early whether to have a number because of how much movement there is on consumer spending these days. Your second point around consumer behavior. I think that similarly to what is happening on merchants, consumers are also realizing that having easy-to-use, secure, reliable, basically, tools to pay digitally is very important to simplify their lives and enjoy better when they buy stuff. And as a consequence, customers are looking for more advanced products, I think, from this angle international debit success being promoted by the banks is an example. I would say, in general, our mobile apps, and, in general, our digital interfaces are also another very strong example. As I've also mentioned in the past, we've been helping many, many customers that were new to using cards to buy on e-commerce over the last few months, and we see this simply continuing. I think there is a wave that started that accelerated at least, and we see that continuing. As far as PDS2 is concerned, there is always several angles with the open banking initiative and everything around it is progressing nicely with more banks and more third-parties associated to it and basically serves us for many different products and services. Normally, these are account aggregation services. We come to see more and more payment initiation services that we embed in our propositions for corporates more and more, and there is a growing interest in that space as well. And we also start to see many unexpected, I would say, and positive applications for open banking-enabled products and services in, for example, lending, insurance and many other applications.
Adithya Metuku: Understood. Very clear. Are you able to comment on what proportion of your revenues are currently coming from this open banking solutions? Are they material yet? Or are they still relatively small?
Paolo Bertoluzzo: No. I mean, obviously, they are in the order of magnitude of mediums, but honestly, it's small. It is very important for our future. It's very strategic as well, because on the back of it, we are more and more able to build new propositions like, for example, for corporates; for example, for banks; for example, for the overall banking system; but also, for example, for public administration has been used, for example, to check the cross bank to check the address of -- the bank address of citizens. So there are many more applications, but for the moment, it is still relatively small.
Operator: The next question is from Mohammed Moawalla with Goldman Sachs.
Mohammed Moawalla: I have 2 questions. One, just coming back to the guidance, given the commentary around sort of exit rates in recent weeks and some of the assumptions you laid out, clearly, you're sort of tracking again at a double-digit clip. But could you help us sort of frame a reference of the potential outcomes you can see? So I know you're assuming some improvement in travel, but what could a kind of a blue sky scenario look like in terms of outcomes this year? Are we talking potentially as high as sort of mid-teen growth for the year, particularly as you lap some very difficult -- or sort of very easy comps in Q2 and Q4? And then my second question was just around -- as you now approach the integration period around the sort of the 2 acquisitions, you've obviously got the sort of revenue recovery happening. How do you sort of manage against sort of any potential execution risks, particularly given the tailwinds in the domestic market? Also the comments you made around looking to still do kind of bolt-on M&A in order to ensure that you sort of continue to execute the plan, but more importantly, also as you try to sort of improve the growth of some of the acquired businesses, the larger acquired businesses?
Paolo Bertoluzzo: Mo, thank you for actually the 2 very good questions. Listen, on guidance, the -- we basically raised our expectations across the different areas of -- or in different sectors somehow from high-impact consumption sectors, to the basic consumption sectors, to the discretionary goods consumption sectors, to the international travels. So we did it across the board. And this is what comes through the numbers. And we've been too conservative, possibly, possibly. But it's, I really believe, too early to say. We cannot overshoot on the back of the trends we have seen over the last 3, 4 weeks. There are many data points that are encouraging, but we really prefer to stay very rational. So we've done bottom-up work around these numbers. Obviously, in order to materially more than this midpoint of 10%, you need to see a more rapid recovery for tourism. That's actually, especially in the summertime, quite material for us, never forget that. For example, in acquiring 20% plus of the volumes are normally coming in a normal year from this. So for example, a key moment is going to be July, August, September from the international tourism point of view.  And obviously, as we were saying before, an important theme is going to be also how rapidly there is a recovery in the more leisure-related segment. We already had fairly consistent high ambitions for a continued growth in the basic sector along the lines of what we've seen in the first quarter or more. We were already expecting a strong recovery in discretionary spending in basically the second half of the year, and we are confirming slightly increasing that as well. So I think, overall, this is a balanced view. But obviously, if reopenings happen faster, if tourism comes back faster, we will be hopefully able to see more. But it's really too early today to talk about that. And honestly, we should also, for a moment, at least, appreciate the fact that despite a third wave that was not expected to come when we did talk about the ambition for the year back in February, despite all of that, we are now increasing our ambition in a material way, also on the back of good results ahead of expectations. Listen, the second point on how to make sure that we capture the opportunities for growth in the stand-alone businesses on top of integration benefits and so on and so forth. Listen, the disease, obviously -- I mean, the monitoring of this and the allocation of resources and the allocation of efforts across the teams is something that is super high on my personal agenda, and it's a conversation I'm having very frequently with senior leaders next to begin with because we're simply closer to closing.  We clearly see many opportunities around, especially as businesses reopen and [indiscernible] see very important growth opportunities beyond what was already in the plan that required further pension or resources. We will be reallocating our efforts. Today, we are striking a fair balance in between people dedicated to the integration work and the preparation of our synergies, and people are fully focused instead on the delivery. And by the way, for example, that in case of Nets, we did decide not to do any integration of the commercial operations, product innovation activities, the business units before some time in order to allow them to stay completely focused. And this is a good -- it's like a good representation of what I was saying before. But we are very much aware of the fact that at the end of the day what matters is total growth. And if it comes from a stand-alone or from synergies doesn't really make a big difference. And if we have to postpone synergies to capture further growth, stand-alone is going to be fine because then we'll go back and capture also the synergies. They're not lost.
Operator: The next question is from Hannes Leitner with UBS.
Hannes Leitner: I got also a couple of questions. The first one is, you provided the data how much was installed base revenues on the cards and digital payments, but not on the merchant service side. So maybe you can talk about that. And then also, you mentioned project-related revenues, it seems you had it across the different divisions, some product-related as in cards and then also Digital Banking Solution had a very strong quarter. Maybe you can comment on that. And then on the second topic is around e-commerce. Yes, you mentioned that you are partly impacted from travel-related verticals. But if I'm -- just like, can you talk here a little bit, do you think that you will be able to increase the share of e-commerce within your volume over time? I mean it creeped up a little bit in '20 over '19, but should this continue? And the last one is just a housekeeping question. You didn't provide any nonrecurring revenues. So that would be helpful just to frame the model.
Paolo Bertoluzzo: Hannes, this is Paolo. Can you just repeat the last question because we didn't get it.
Hannes Leitner: The last question is just on the nonrecurring revenues.
Paolo Bertoluzzo: Nonrecurring revenues. Okay. Let me ask Bernardo to take the first, the second and the fourth. Let me just comment, before he does it, on your point around e-commerce. Yes, we believe that e-commerce, over time, will increase the share in our total portfolio. Don't forget that today, this number is completely deviated by the different impact of e-commerce on the different sectors. As we said in the past, for example, travel is very e-commerce heavy, and we have important customers in that space here in Italy in the transportation space with no clear risk, so just to clarify, but they are obviously very important. And today, as you can imagine, the volumes are very low, and we expect the recovery there to support. But yes, we see an increase in e-commerce as well. At the same time, let me also say that the more we have an acceleration of cash to digital into physical commerce, which is what we are seeing now, the more any growth in e-commerce will be diluted when you look at the mix. So I really believe it's important to look at the growth rates, absolute growth rates rather than the mix. I would also underline another point and e-commerce before I go over to Bernardo that was also mentioned by him, that in e-commerce, we are able and we've been able also in this quarter to grow revenues faster than volumes. It's also due a little bit to the mix, but also to the fact that more and more, we are able to sell not only acquiring, but more and more gateways and technology services on top of it. Bernardo, you want to cover.
Bernardo Mingrone: Yes, this last point, actually, I mean, on the e-commerce front, we are growing like an 18% number of e-commerce gateways' activations. So Hannes, so with regards to installed base, big business in merchant services for us and the mix between variable or volume-driven and installed base revenues moved slowly. So we're still around 60 -- 2/3 volume-driven, 1/3 installed base. It's actually 60%, 64% -- 66%, 34%. So it hasn't really changed much over time. Both of these components, it's important to note, they grow both because the installed base growth in terms of number of terminals and because we're upselling or introducing higher value-added services and products into that base. But it's the inverse of cards and digital payments. Cards and digital payments, 60% installed base and 40% volume-driven. With merchant services, it's the other way around, it's 34% installed base and 66% volume-driven. Then question 2 and 4 are similar, I'd say. So with regards to project-related revenues, et cetera, and then recurrent and nonrecurrent revenues. Let me start from the recurrent and nonrecurrent revenues. We've stopped giving the split because it stopped being material. This is a legacy from our IPO days when we had recently completed an acquisition of a company called Bassilichi that had a large business in reselling Microsoft Softwares, ATM machines, POS terminals, et cetera, at 0 margin. And these were businesses we exited because they made no sense for us. We were adding little value to them. And therefore, we had to give a year-on-year comparison of growth of reselling, net of reselling. Now that business is shrunk to almost 0, and it's irrelevant. So everything we do has a margin and everything we do is core business. So there's no point in -- they're all, I would say, recurrent revenues or there's no point in differentiating. And this I think ties with your second question, which was regard with project-related revenues. Most of our revenues are volume or installed base-driven. But every year, we have single-digit million euros, maybe sort of low double-digit million euros out of €1.1 billion of revenues, which is project-related work or activities we carry out for our customers in order for them to adapt their technology, upgrade their technology to new products, services or banking mergers. And this is true every year. What we have done is highlight how in the quarter, we just had a marginal benefit year-on-year in these 2 divisions in Cards & Digital Payments and in Digital Banking Solutions. But we had some of those revenues last year, some this year and the marginal difference is slightly positive, so we highlighted it. But we're talking about a couple of million euros here and there.
Hannes Leitner: Okay. And so actually, I meant on nonrecurring [indiscernible] costs associated on the EBITDA impact, but I saw that you actually didn't provide it last year either. So in terms of installed base on the data you have given, the installed base revenue seem to have increased by over 10% year-over-year, especially, you remember last year, due to the pandemic, you have quite emphasized on the installed base revenues. So that means that the transaction-based revenues declined by 6%. That would -- we should see their reversal?  Or is the installed base revenues, did you bring there some certain new contracts which have there -- here a stronger baseline? Could this be associated with the Intesa deal? Just to get an outlook for the rest of the year. Is this driven, the recovery and the upgrade of the guidance, based on the installed base revenues or rather more on the volume-driven revenues?
Paolo Bertoluzzo: Hannes, I commented this. No, the increase -- I'm not sure we follow the calculations you were doing. But basically, the -- in Merchant Services, as we speak, the installed base revenues are broadly flat and with the increased expectation is mainly driven by volume revenues, volume for netted revenues on the back of what we were saying before in terms of our improved outlook for the recovery. And also remember that the elasticity and the speed of reaction of these 2 components is completely different.  And I mean installed base revenues move very slowly. While volume revenues can swing very, very, very fast. Again, I don't know if you're referring to it, I just want to reiterate it to avoid any confusion into our updated ambition, there is nothing about the UBI book acquisition. I want to reiterate that because that's not a driver of the increase.
Operator: The next question is from Gianmarco Bonacina with Equita.
Gianmarco Bonacina: Two questions. The first one is kind of a follow-up to the previous one. So on the full year, when your ambition to grow about 10% revenues, would it be fair to assume that you expect double-digit for volumes and maybe mid- to high single digit for the installed base, which clearly historically is a slower growth versus the volumes? The second one, on the net debt, which in the quarter sequentially had a huge decrease, I think it was higher than the EBITDA, I guess, probably is linked to the accounting for the convertible. If you can maybe give us a little bit more indication in terms of the underlying free cash flow, excluding the convertible?
Paolo Bertoluzzo: Marco, on the first one, I think you are broadly right in the sense that the -- it's driven by a volume dynamic that is close to double-digit, and it's also a matter of mix. But at the end of the day, compared to '19, I'm always comparing ourselves with '19, but at the end of the day, the underlying hypothesis when you put everything together and installed base growing instead more low to mid-single-digit type of thing as a little bit historically we have done. Bernardo, do you want to cover on debt?
Bernardo Mingrone: Sure. The net debt follows, as you were saying, the calculation follows the accounting treatment of the convertible bonds, so the bifurcation of the bond component from the equity component and the option we sold. If we had accounted it, let's say, just as if it were a simple bond, the 3.2 average would be 3.3. But I think it's standard practice to follow the accounting treatment, and that's the way we have accounted for it, similar to other issuers with convertible bonds out there.
Operator: The next question is from Paul Kratz with Jefferies.
Paul Kratz: Just 2 questions on my end. I mean thinking about the UBI deal, is there any impact that we need to take into account on the issuing side? Just in terms of how that relationship, I guess, with UBI might change as a result of merging with Intesa? And then I think the other question that I also had as well is when we think about Nets and the tech stack segment of all of this, I mean, this seems to be a really big selling point of the whole deal. I mean is there any color that you can provide around preparations that you've done around kicking off some of the platform migrations that are critical to recognizing synergies? And then just finally, is there any color you can give just around the Intesa contribution in the quarter?
Paolo Bertoluzzo: I'll let Bernardo to handle the third question that hopefully is clear to him, otherwise, we'll ask you to understand it better. On the first 2 points, UBI, let me just recap because I understand that it's one of the many, many things you're looking at. UBI -- the bank -- UBI Banca has been sold last year to Intesa, and we were already serving both UBI and Intesa. In the context of the deal, 1/3 of UBI assets, both merchants and cards and customers, more in general, has gone -- has been bought by BPER that we also serve on both merchants and cards. So now when it comes to the deal we've done now with UBI -- sorry, with Intesa on the merchant side, this has actually nothing to do with the issuing side. On the issuance side, the cards of UBI customers have already been migrated. And this is actually a piece of the work that Bernardo was mentioning before when he was talking about project work for banks. Those cards that were with UBI have been already migrated partially to -- 2/3 basically to Intesa and 1/3 to BPER or in the progress of being migrated, depending on which business model we are talking about.  And at the end of the day, overall, the economics on that component of the business become kind of neutral for many, many different reasons. When it comes to the technology stack up net, but I would say more in general, the future of the group, we have an amazing pool of technology experts across SIA, Nets, Nexi that are working together again within the boundaries of what can be done and so on and so forth. But they've been working together over the last 2 or 3 months already to prepare for the development of the next-generation structure for the group.  There are many different streams by vertical of our acquiring gateways, infrastructure, security, and this is a soft POS on all this front. And by each vertical, they've identifying basically 2 things. What is the next -- or what are the next-generation solutions for the group, normally leveraging on something that was already there or was already under development for the group? And at the same time, finalizing the synergy plans as we shut down some of the more legacy platforms, and we in-source activities that we were doing with third-parties. So this is the work that is being done. I mean the synergies available out there are very, very visible and are being confirmed, potentially -- potential increase. There is a lot to do, we knew that. But we are super happy because there is a super strong team in SIA, in Nets, in Nexi working on this, and this is the real asset in the end. We have -- we will have, in the end, more than 2,000 people working around technology innovation products. And this is -- in the end reverses, by the way, both companies, I'm talking about SIA and Nexi, in specific cases, are continuing to win new business in complex environments, thanks to their technology capabilities. So that's very reassuring as well. On Intesa, Bernardo?
Bernardo Mingrone: Yes, on Intesa. So the mechanics of Intesa are exactly the same as the ones that we had negotiated for the previous deal we closed last year. So what Paolo mentioned earlier is that although legal closing of the transaction, so when we actually title of these merchants passes to Nexi under the framework agreement we have with Intesa, we will still accrue -- even though that closing will happen in the second half of this year at some point in the fall, we are accruing the benefit of ownership as if we had closed that deal on the 1st of January of this year.  So when we actually close, we will give you numbers, which are pro forma back to the 1st of January, and we will get the cash balance generated by this business as if we had owned it from the 1st of January without this changing, so embedded in €170 million price we paid. So for all effects and purposes, it's as if we had closed the transaction on the 1st of January this year. It's just that we need to wait mechanically for -- essentially, it's an IT issue in terms of sequencing, given the amount of stuff going on with Intesa, we agreed that right time to migrate them to our platform, which is Intesa platform rather than UBI platform, which is our platform anyway, is in October. But we have been working with Intesa as if these merchants have been, let's say, Nexi merchants for quite a while now. I think that answers your question.
Paul Kratz: Yes. Just I wanted to follow up. I mean, we obviously will have the contribution from UBI, but is there any color you can give just on Intesa stand-alone? I mean I appreciate the book was a little bit different from, I guess, the rest of the group. So it'd be great to have a little bit of color. And then maybe just also one other follow-up. I appreciate that we have Nets. Their acquiring platform is basically a target platform that you guys are working to migrate to. I mean the fact that you guys are still operating independently, does that affect the way you think about the timing of in-sourcing your acquiring processing? And is there any color you can kind of give just around timing on that?
Bernardo Mingrone: So I'll just complete the comments on Intesa, and then hand the floor back to Paolo, so he can tell you about our approach to integrating with Nets on the IT front. So with Intesa, we don't disclose individual client's performance, et cetera. So I'm not going to do that. I will just refer you back to comments we made last year, and we're happy to make again this year in terms of the performance of Intesa book, which is a very, very strong performance in general. Intesa is a strong bank in the market in Italy. You saw the results Intesa published the day before -- the last week. I think what we said was last year, the mechanics of our agreement with Intesa afforded us some protection in the difficult months. You remember that in our distribution agreement, we have downside protection, where Intesa basically guarantees a certain level of performance to us. And that guarantee actually kicked in during the course of 2020 and helped us achieve the results that we achieved last year. This year, it's not been necessary because the book has performed very well, in line with the performance of the overall business for Nexi in Italy as you saw from volume performance. Paolo?
Paolo Bertoluzzo: No. Listen, the -- for the -- I mean, let me try to clarify better and then maybe we can follow up on this one more precisely. But in general, you should not look at the platform as one platform because in a business that is so extended across different verticals, different products and services, for instance, have one platform that we choose. So we're choosing is the Nets platform across the board. We will actually use for every vertical that I was mentioning before, issuing, acquiring gateways, infrastructure, security. And by the way, in some cases, some segments as well and by the way, different components, we'll be using the best breadth of what the different entities developed or are developing. So in some cases, we'll be leveraging, for example, some super-advanced pieces of technology that Nets is developing; in some other cases, SIA is developing; in some other cases, Nexi is developing. From this point of view, I think the work that we've been doing right now is actually all the planning and the preparation for the execution. And at least for the moment, we don't see any limitation from the fact that, on the Nets side, we will integrate operationally a bit later and never forget instead that we plan to integrate faster on SIA. So for the moment, we don't see any impact. But as always, we'll adjust the plan as we go -- as we move, if necessary, but should we look at it as the best of breed, the combination of best of breed and the teams are working together on this as we speak.
Operator: The next question is from Alexandre Faure with Exane BNP Paribas.
Alexandre Faure: I had just a couple of questions, if I may. One is a comment you made, Bernardo. I think you mentioned an increasing card talk in Q1. I was just wondering if that was based on market share gains or rather your existing customers, who might be a bit keener now to hand out the cards in a post-pandemic world? So that's my first question. Second question is around the appetite for further bolt-ons that you mentioned, Paolo. Just wondering if you believe that this will happen in Italy or perhaps you have exhausted the market there, and we should think Eastern Europe, Greece, other parts of the new footprint and what sort of time line should we have in mind? Do you think you might still announce something new in 2021 or that's being too demanding?
Paolo Bertoluzzo: Alexandre, listen, on card stock, if I can probably try to give the simple answer is a mix of things. So you have some growth in the base, but you also have some evolution in terms of product mix and upgrade of the product mix. So the revenue growth is not coming from more cards. It's also coming from the same number of cards but becoming more valuable for the customer and, therefore, for us. So it's a combination of both. So there's a new -- some new customers for the banks, some migrations to higher-value products or some bank migration, so it's a little bit of a combination. When we come to M&A, as you know, we are super focused in making happen what we have already signed and, therefore, the Nets and SIA combinations. But as demonstrated with UBI is, by the way, Nets as demonstrated in Finland recently and in Switzerland a bit a few months ago, we will continue to capture opportunities in markets where we are that allow us to strengthen our position in those markets. So obviously, we remain exposed to potential opportunities in Italy as well, especially if they allow us to follow and to enable to contribute the strategy of our partner banks.  So these are conversations that we always have that we had in the past, we'll continue to have in the future, again, driven by their strategies. But as we speak, you should imagine that there are a few conversations outside of Italy, and this is something that we said in the past as well on the various fronts. Again, small things easy to be integrated, easy to be managed and not interfering with the big deals actually strengthening the value of those deals.
Operator: Mr. Bertoluzzo, there are no more questions registered at this time.
Paolo Bertoluzzo: Listen, thank you. Thank you for attending this call. Thank you for your questions. As you know, we will be very happy later on today, if you wish, but over the next few days to continue the conversation, and we'll meet many of you over the next few days and weeks, and therefore, looking forward to continue all of this, again. Simple messages from today, visible recovery of volumes and acceleration of volumes on the back of the reopenings with a positive outlook now also on the back of the vaccination plans. Good strong performance compared to expectations in the first quarter on both revenues and EBITDA, good progress on M&A on various fronts. All-in, we feel comfortable in raising the ambition for the year under some transactions, but we are happy to do it. Thank you very much to all of you, and I'm sure we'll talk soon on the various fronts. Bye-bye. Have a great afternoon.
Operator: Ladies and gentlemen, thank you for joining. The conference is now over. You may disconnect your telephones. Thank you.